Operator: Good morning, and welcome to Air Products & Chemicals’ Third Quarter Earnings Release Call. Today's call is being recorded at the request of Air Products. Please note that the presentation and the comments made on behalf of Air Products are subject to copyright by Air Products and all rights are reserved. Beginning today's call is Mr. Simon Moore, Vice President of Investor Relations.
Simon Moore: Thank you, Leanne. Good morning, everyone. Welcome to Air Products' Third Quarter 2020 Earnings Results Teleconference. This is Simon Moore, Vice President of Investor Relations. I'm pleased to be joined today by Seifi Ghasemi, our Chairman, President and CEO; Scott Crocco, our Executive Vice President and Chief Financial Officer; and Sean Major, our Executive Vice President, General Counsel and Secretary. After our comments, we will be pleased to take your questions. Our earnings release and the slides for this call are available on our website at Air Products.com. This discussion contains Forward-Looking Statements. Please refer to the forward-looking statement disclosure that can be found in our earnings release and on Slide number 2. In addition, throughout today's discussion, we will refer to various financial measures. Unless we specifically state otherwise, when we refer to earnings per share, EBITDA, EBITDA margin and ROCE both on a companywide and segment basis, we are referring to our adjusted non-GAAP financial measures. Adjusted earnings per share, adjusted EBITDA, adjusted EBITDA margin and return on capital employed. Reconciliations can be found on our website in the Relevant Earnings Release section. Now, I'm please to turn the call over to Seifi.
Seifi Ghasemi: Thank you Simon, and good morning everyone. As always, we thank you for taking time from your busiest schedule to be on our call today. Before we talk about our result this quarter, please turn to Slide number 3. As I said last quarter, the true character and leadership of individuals and companies are revealed during times of crisis and unfortunately this crisis continues at different levels in different phases around the world. Our number one priority has been and will continue to be the safety and wellbeing of our people. We have provided all the necessary protective equipment and instituted protocols focused on the safety and health of our people. I want to thank our employees for following these procedures and working hard to serve our customers under challenging conditions. In addition, as we mentioned last quarter, to ensure the peace of mind during this time of highest stress with COVID-19 we have not reduced the staff nor cut anybody's salaries. Our people are doing a great job in keeping all of our 750 plants running around the world. All of our corporate or business functions are running smoothly. We continue to gain mega projects around the world and serve our customers and deliver good results despite the significant crisis facing our world. Our robust business model is proving its resilience globally. Our onsite business remains stable. In addition, we have maintained our focus on pricing discipline, despite the lower volumes and as you can see, our merchant businesses delivered improved pricing in all of our regions. Our business model supports and enables our strong financial position and we successfully access the debt markets in April to ensure we are ready for our exciting growth opportunities wish there are plenty of. We continue to execute on our growth opportunities, including the $7 billion carbon fee hydrogen projects we announced earlier in July, and the $2 billion coal to methanol projects in Indonesia. We remain confident and optimistic that we can successfully deploy our very strong balance sheet and ongoing cash flow to create significant value for our shareholders. As Scott will explain in more detail later, we set a goal for ourselves in 2018 to commit to seeing billion of growth projects by end of 2022. We are actually two and a half years ahead of schedule and our job now, we are already committed almost $16 billion. A great job by our business development teams around the world. And while we are proud of succeeding or exceeding our goal we still have substantial capacity and projects for additional projects to continue our growth path. Please now turn to Slide number 4. I'm pleased that our team stay focused on working safely throughout these challenging operating conditions. Look at the Slide number 5, which is the goal we set for ourselves in 2014. I’m proud to say that today Air Products is the safest and most profitable industrial gas company in the world. The Slide number 6 . We have showed you many times before, and we continue to believe in our management philosophy that cash is king and that prudent capital allocation is one of the most important jobs of any CEO. Slide number 7 lays out a five point strategy moving forward with an emphasis on our highest purpose as a company. Now please turn to Slide number 8. Where you can see the exciting, innovative carbon free hydrogen projects, we announced a few weeks ago. This is a unique world-class project to produce carbon free hydrogen - zero footprint carbon hydrogen of the global markets. Air Products, NEOM and Aqua Power we will invest our $5 billion to produce green ammonia from wind and solar power in NEOM, Saudi Arabia. Air Products can take all the green ammonia and invest an additional $2 billion to develop the infrastructures to convert the ammonia to carbon free hydrogen and deliver it to bus and truck peoples around the world. Therefore, Air Products overall investments in the total project will be about 3.7 billion and we expect the financial returns to exceed our previous commitments. This project is a true game changer for the carbon free hydrogen market. As we have always said, we expect to grow significantly in the next decade and we are positioning Air Products to continue to be the leader in the hydrogen to space. On the Slide number 9, you can see another great project our $2 billion in investment in Indonesia to gasify coal to methanol. Air Products will take coal from Bakrie and Ithaca and provide methanol under a long-term onsite business model. Once again, this demonstrates the expansion of our onsite business model, enabling us to offer customers a bonus start and complete solution, providing the products they need from the feedstock that they have. The fundamental drivers of this project are the national security and energy independence policies of the government of Indonesia. And we expect to do more projects like this in Indonesia. Please turn is Slide number 10, our gasification Strategy. All the projects you see here continue to move forward. There are fundamental drivers creating significant growth opportunities in gasification. Countries and large companies around the world continue to focus on gasification to utilize the abundant natural resources they have to produce chemicals as potential fuels and energy in a sustainable manner. We continue to make progress on our important $12 billion Jazan gasification project for Saudi Aramco. Despite the current challenging times, I’m very happy to report today that we have now launched a $7 billion financing required for this project. And we expect to close the transaction in October of 2020. Scott, will have some more to say about this thing in his portion. As I'm sure the investors and analysts will notice, we had remove YK project from our project list and our backlog. This was a large coal gasification project in China. We have already told investments over the past two years that we will only do this project if we can get four more allocations of coal reserves dedicated entirely to this specific project. We have now come to the conclusion that this might not happen in the near future. It might happen later, but it is not happening in the near future. And as a result, we are removing this project from our backlog. If we ever get the allocation then we can add it to our backlog, but right now it is not appropriate to count on it. Now please to Slide number 11. Thanks to the hard work of our team and the strength of our business model, our EBITDA margins remain over 40% which is up 1700 basis points from early 2014. Now, I would like to turn the call over to Mr. Scott Crocco, our Executive Vice President and Chief Financial Officer to provide the financial overview. Scott.
Scott Crocco: Thank you Seifi. As Seifi stated earlier our Company's financial position is very strong. Our cash flow generation is very stable, supported by our industry leading on-site business, which represents more than half of our sales. We were able to complete a highly successful $5 billion debt offering, which was enthusiasm received by investors and enables us to deploy significant capital into high return projects. Please turn to Slide 12, where you can see a summary of our April issuance of $3.8 billion and €1 billion of fixed rate debt, raising about $5 billion of cash in total. We are committed to manage our debt balance to maintain our target A/A2 rating while continuing to pursue our capital deployment strategy. We plan to use this cash to repay about $1 billion of debt maturing between now and the end of 2021 and the fund the Jazan project as well as our other exciting growth project opportunities. We have now several strategic investments this quarter. And we firmly believe that investing in high return projects will create more shareholder value than shared by backs. We are committed to rewarding our investors by increasing the dividend and growing the Company by deploying capital. As shown in Slide 13, Air Products since delivered 38 consecutive years of dividend increase through many periods of challenging economic conditions. Now, please turn to Slide 14 for a summary of our third quarter results. Our teams around the world have worked very hard managing through this crisis. We are encouraged to see that our businesses have been resilient under these challenging conditions. I would like to thank our team for their focus on health, safety and serving our customers reliably. A job very well done. Despite the unprecedented disruption caused by COVID-19, our adjusted EBITDA of $880 million closely matched prior year and last quarter, supported by the stability of our businesses, and the positive actions taken during this time including price increases, cost management, LNG project execution and acquisitions. We delivered price improvement in all three regions. Overall price was up 2% the 12th consecutive quarter of year-over-year price increase and also increased 1% sequentially. For the quarter, higher price nearly offset lower volume. The 7% decline in sales was mainly the result of 4% lower energy pass through, and 2% unfavorable currencies primarily the Chinese RMB, the Chilean Peso, Korean Won, and the Euro. Volume was unfavorable 3%as new plants, increased LNG activities and acquired assets only partially offset the negative impact due to COVID-19 and the volume impacts from planned maintenance outages. COVID-19 reduced overall sales by about 9% and lowered merchant volume about 14% primarily in Americas and Europe. EBITDA margin reached 42.7%, the fifth consecutive quarter, exceeding 40% and up 260 basis points compared to prior years and 240 basis points higher than last quarter. About 140 basis points of the improvement versus prior year was from lower energy pass through, with the rest primarily driven by higher price and lower costs. COVID-19 negatively impacted EPS by about $0.35 to $0.40. EPS is down 7% despite consistent either due to higher depreciation on new plants, including the PBF hydrogen plants, additional interest expense from the new debt issuance and higher tax rates. ROCE of 12.4% is down 30 basis points from prior year negatively impacted by about 80 basis points from the step up in the denominator from the additional $5 billion of debt. Now please turn the Slide 15. Our third quarter adjusted EPS of $2.01 was down $0.16 per share or 7% despite the negative $0.35 to $0.40 impact from COVID-19. Volume, price and costs together were down by a minus $0.05, despite the negative COVID-19 impact. Costs contributed $0.04, primarily due to lower travel and reduced maintenance activities. We are pleased with the overall positive cost this quarter, even as we continue to invest in resources for future growth. Currency and foreign exchange was $0.05 unfavorable, primarily due to the Chinese RMB, Chilean Peso, Korean Won and the Euro. Equity affiliate income was down $0.02 due to COVID-19. The effective tax rate was 19.3% for the quarter, up 70 basis points over last year and had a negative $0.02 impact. We continue to expect an effective tax rate of 20% to 21% in fiscal year 2020. The additional $0.02 reduction in other is primarily due to the higher interest expense associated with the additional $5 billion of debt, partially offset by lower pension costs. Now please turn to Slide 16. We continue to generate strong operational cash flow. As I mentioned, our EBITDA has held firm despite COVID-19 global pandemic, again demonstrating the quality of our business model. Over the last 12 months, we generated about $2.7 billion or about $12 per share of distributable cash flow. From this distributable cash flow, we paid almost 40% or over $1 billion as dividends to our shareholders and still have about $1.6 billion available for high return industrial gas [investments] (Ph). This strong cash flow, even in uncertain times, enables us to continue to create shareholder value through increasing dividends and capital deployment. Now, please turn to Slide 17. As I'm sure, you will all remember, in 2018, we said, we saw significant potential for high value creating capital deployment. In fact, we communicated a five year target of committing $15 billion of new investments by the end of 2022. I’m pleased to say that today, after less than three years, we have already been able to commit nearly $16 billion exceeding our original goal more than two years ahead of schedule. We certainly took a significant step up this quarter, despite removing Yankuang driven by the large Saudi Arabia and Indonesia project. Slide number 18 provides additional details on the significant progress we made on our capital deployment this quarter. As you can see, we expect almost $18 billion of investments capacity available over the five year period from FY2018 through FY2022. Our total capacity is expected to continue to grow as we increase EBITDA. The $18 billion includes over $9 billion of cash and additional debt capacity available today. Almost $4 billion of investable cash flow between now and the end of FY2022. And almost $5 billion already spent. We will continue to focus on managing our debt balance to maintain our current targeted A/A2 rating. As Seifi said, we continue to sign new projects. So our total project and M&A commitments has significantly increased to about $12.5 billion with about $11 billion remaining to spend on them. So you can see, we have already spent almost 30% and already committed about 90% of our total available capacity. But to be clear, we still have plenty of capacity available to deploy in high return projects. And some of this commitment spending will occur after 2022. And our capacity will continue to increase if EBITDA increases. Now, to begin the review of our business segment results, I will turn the call back over to Seifi.
Seifi Ghasemi: Thank you very much, Scott. I’m very pleased to say that our teams have done an exceptional job proactively responding to the current crisis. All three regions delivered strong pricing results and higher EBITDA margins this quarter. In addition, our costs are under control and we also brought new projects from the stream and acquired assets which have added to our results. Now please turn to Slide number 19. Our Asia results. Our volumes in the third quarter were down mainly due to some negative impacts from COVID-19 and planned maintenance shutdown in two of our large facilities in China. Our team in Asia has a stayed totally focused and discipline on pricing, like the rest of regions. Our merchant pricing and decision was up 4% in the quarter versus prior year. I would like to emphasize that this is the 13th consecutive quarter of year-on-year price improvement in this region. Our EBITDA for the region was down 2% versus prior year primary due to unfavorable trends. Adjusted EBITDA margin of 50% was up 100 basis points over prior year driven by pricing and favorable costs. Now I would like to turn the call back to Scott to discuss America's results.
Scott Crocco: Thank you, Seifi. Please turn to Slide 20 for a review of our America's results. America's strong pricing trend continued up 2% versus last year. This is the 8th consecutive quarter of year-on-year improvement. Price was better across most major product lines. Sequentially, price was up but rounded to zero. COVID-19 negatively impacted sales by approximately 8%, while lower energy pass through and unfavorable currency reduced sales by another 6% and 2% respectively. Overall volumes were down 5% as the effect of COVID-19 which reduced merchant volumes by 50% was partially offset by other growth, including the PBF of hydrogen plant asset acquisition. As expected, the onsite business, which accounts for about two thirds of the region's sales remain stable. The merchant volumes in June did show some modest improvement. EBITDA of $411 million was flat compared to last year as the impact of lower volumes was offset by better price, productivity and lower plant maintenance activities, some of which were delayed into the fourth quarter. EBITDA margin approached 50%, up 550 basis points with energy pass through contributing about half of this increase. Now, I would like to turn the call back over to Simon to discuss our other segments. Simon.
Simon Moore: Thank you, Scott. Now please turn to Slide 21 for review of our Europe, Middle East and Africa region results. Our EMEA business continue to deliver strong price despite the challenging COVID-19 related economic conditions in the region. Price increased 3% with improvement across all major products and sub-regions. This is the 10th consecutive quarter of year on year price improvement. Price was also up sequentially but rounded to zero. Volume was down 7% as the adverse effect of COVID-19 and maintenance outages more than offset positive on site business. Merchant volumes are down about 20% with weaker demand from packaged gas customers. For the quarter, COVID-19 lowered sales about 13%. Sales were also negatively impacted by 6% from lower energy pass through and 3% from unfavorable currency. EBITDA of $170 million was down 11% as the weaker volumes and unfavorable currency was only partially offset by strong price. EBITDA margin of nearly 40% improved over 100 basis points as energy pass through contributed about 200 basis points. Similar to the Americas results, we did see some modest recovery in Europe merchant volumes toward the end of the quarter. Now please turn to Slide 22 Global gases, which includes our non-LNG sale of equipment businesses, as well as central industrial gas costs. Sales increased due to higher sale of equipment project activities, but profit is lower due to higher project development costs as we continue to invest to support future projects. Please turn to Slide 23 corporate, which includes LNG and other businesses as well as our corporate costs. Sales and profits were higher this quarter driven by LNG project activity, including the Golden Pass and Mozambique LNG projects. Now to provide some additional thoughts on the future, I will turn the call back over to Seifi.
Seifi Ghasemi: Thank you, Simon. I do not need to tell any of you about the current crisis and the significant impact on the world and global economy. We see and read about it every day. The COVID-19 recovery is very mixed around the world with some areas back to normal activity, some slowly recovering and some unfortunately, change significant communities spread and having to implement or reinstate restrictions. We are clearly living in uncertain times and that makes it very difficult to make any reasonable projections for the future. Therefore, we are not providing any guidance for our fourth quarter performance. But I can and tell you about what we are seeing so far, in the month of July. As of today, the July 24th, 52% of our sales that is our onsite business is doing well and we expect this to continue. In Asia, our merchant volumes are at similar level as we saw in October in quarter three. In Europe, our merchant volumes have been improving and are now down about 10% so far in July versus last year. In the Americas, where we see the greatest uncertainty on the future economic recovery our merchant volumes are down about 10% so far in July versus last year. As a reminder, we do not have package gadget business in the United States. However, we do expect higher maintenance costs in the fourth quarter as a number of planned outages by our customers have delayed from quarter three. I would also like to add that our goal - we aren’t concerned about the short-term effects of COVID-19 and its impact on the world economy. We do not see any slowdown on the demand for our growth opportunities, the mega projects around the world, hydrogen for mobility, gasification, carving capture on all of that. Therefore, I continue to remain very optimistic about prospects for future growth for Air Products. Now please turn to the Slide number 24. Now, more than ever, our real competitive advantage is the commitment and motivation of the great team we have at Air Products. Our business model and strong financial position will allow us to continue to execute our strategy to create long-term shareholder value. A top priority is the ongoing growth of our dividend also. We are committed to increasing our dividends as we go forward. The projects in our backlog continue as expected and we continue to win significant projects to create long-term shareholder value. Most importantly, we will continue to protect our people's health and safety and take care of their welfare and their families. Let me end today by thanking 17,000 employees around the world for their dedication and commitment. The work will have drive us forward. We are proud to play a critical role and make a difference to the world during this challenging time and into the future. That is our higher surface at Air Products. All of us at Air Products, we all stand together to make their difference. Now, we are pleased to answer your questions.
Operator: [Operator Instructions]. And we will take our first question today from Vincent Andrews with Morgan Stanley.
Vincent Andrews: Thank you and good morning everyone or good afternoon I guess almost. Just want to understand maybe starting in Europe, the EBITDA percentage decline was a little bit more than in the other regions. Is that just sort of the math of the lower margins in that region versus the other two or was there a mix issue or any incremental color you can provide on that?
Seifi Ghasemi: Good morning Vincent. No, it is just the fact that it is a lower margin than the other parts of the world. I would like to ask, Scott, do you have any additional comments on that but -.
Scott Crocco: No, nothing more. We did have an outage of one facility, but there is nothing of systemic issues or anything like that, just as you mentioned, it is lower margin business overall.
Vincent Andrews: Okay, very good. And just [Technical Difficulty] with a lot of conversation about de-captivation opportunities. And I'm just wondering if that is still something that is front of plate or - the opportunities we all thought were big three months ago maybe have come gone as the financial markets have recovered?
Seifi Ghasemi: No, I think those opportunities are still there Vincent. It is just that some of them take a long time for it to happen, but we don't see any slowdown on those. And some of those de-captivations are fundamental strategic decisions by some of our customers of divestment of their non-core business. It is not so much driven by COVID or cash flow issues. I mean, Saudi Aramco doesn't have any cash flow issue, but they do want to get rid of some of their non-core assets or other companies. So we continue to look at those and if anything happens, obviously we would tell you.
Vincent Andrews: Okay, very good. Thanks very much.
Seifi Ghasemi: Thank you Vincent. Have a nice day.
Operator: And we will take our next question from Jim Sheehan from SunTrust.
James Sheehan: Thank you. So you have exceeded your prior goal for capital deployment. Do you think that means that you should be more aggressive with the next target? And when might we see that?
Seifi Ghasemi: Well thanks for the kind of comment. I will take it as a positive comment. We have always said that, if you do the math and take the projects that we have announced, calculate the EBITDA for them and then obviously our capacity goes up and so on, you can come up with the fact that if other can invest $30 billion in total. So we are just going to continue doing what we are doing and as I promised you last time, next summer, we will give you another five year plan in terms of what we are going to do for another five year period, now that we have to achieved our goal. But the opportunities are there, they are very significant and we are not running out of capacity and so on. The math that Scott is doing is very appropriate but he is only allowed to use our current last 12 months EBITDA. And I'm sure you have done the math, a lot of the investors have done the math and they will say, you are going spend $30 billion. And I said, yes it is possible. So we continue to be very optimistic. Thank you.
James Sheehan: Now if the U.S. corporate tax rate is raised to 28% after the presidential election, what impact might that have on your effective tax rate or what can you say maybe about any possible earnings impacts you see from changing your tax policy?
Seifi Ghasemi: You are very familiar with the impact it had when the number went down, so you can just reverse that. And you also need to realize that more than 60% of our business almost 70% of our business is outside the United States. And therefore you know the tax rate in the U.S. does affect our results, but it is not as significant as you see that 100% of our business in the U.S. But you have a very clear reference point. I mean, when it was reduced, you saw how much it benefited us. We were very open about that so.
James Sheehan: Thanks, Seifi.
Seifi Ghasemi: Thank you.
Operator: And our next question comes from Kevin McCarthy with Vertical Research Partners.
Kevin McCarthy: Good morning. I think you made a comment that customer plant maintenance activity is likely to have an impact on your earnings in the fiscal fourth quarter. Can you elaborate on that in terms of the size of the impact? And which regions you are seeing that activity?
Seifi Ghasemi: Good morning, Kevin. First of all, that is a comment which we made about Americas. In the U.S. there is some plant. As you know, our maintenance shutdowns are determined by customers. We can't take our plant down in the state. Some of the customers decided that they were going to do that in the U.S. in the fiscal year third quarter. Now they have decided to do it next quarter. So that comment is related to Americas only. And the effect of that is some - they are always very transparent. We do that, but it is not a material effect.
Kevin McCarthy: Thank you for that Seifi. And then as a second question. I would be very interested to hear your outlook on China as it relates to potential new projects. Obviously you have taken YK out of the official budget for now. At the macro level, it would seem that tensions are rising between the U.S. and China. What are you seeing on the ground? And how would you assess potential for meaningful new projects in the region over the next year or two?
Seifi Ghasemi: We don't see any significant change. We are a global company. The Chinese look at us as a global company. We have invested more than $10 billion in China since 1988 in the last 32 years that we have been there. Our business is very local. And therefore, at least up to now, the so called tensions between the two countries hasn’t affected us at all. And there are plenty of opportunities that we are pursuing there. And the fact that we took YK out. I have been talking about that for the last two years to the investors that it was just a matter of a coal allocation. And we don't want to do a big project in China if we are not sure of the supply of coal. So don't read into that as if our opportunities in China has reduced or anything like that. Now we are working on projects in China, as are working anybody else in world?
Kevin McCarthy: Good to hear. Thank you very much.
Seifi Ghasemi: Thank you.
Operator: And we will take our next question from Steve Byrne with Bank of America. And sir, your line is open. You may have us un-mute.
Stephen Byrne: Sorry about that. So some of the Japanese utilities have been testing ammonia as a feedstock blend for power production. And just want to know if you had a view on the technical feasibility of that concept, say versus hydrogen blend in with natural gas. Could the ammonia actually reduce NOx? And do you see feasibility in delivering ammonia into this end market from your Saudi project as opposed to you know the dissociation requirement to sell hydrogen in for fuel cell recharging stations.
Seifi Ghasemi: Thank you for your questions. Number one, technically it is feasible, but with respect to us these are very, very clear when we announced the project that we are not in the business of selling ammonia, we are selling carbon free hydrogen. So that it is technically feasible or not, those are not the applications that we are looking at, because we don't think they are as highly value added as others and for mobility. Ammonia for us is just a transport medium to take the hydrogen gas from Saudi Arabia and convert it to something that can be transported. So we are in the business of selling hydrogen, not ammonia whether it is green or blue or anything like that. That is not our business.
Stephen Byrne: Just a follow-up on the Indonesia project, like the Saudi project. There is a component here that is moving downstream into synthetic chemistry and just wanted to hear your comfort level with that or what you due to mitigate that risk of moving into a new unit operations there. And would it be reasonable to assume that you do so, because you are expecting maybe a higher return on that investment?
Seifi Ghasemi: Well, first of all, we are not getting into the methanol business as you know very well. The only thing that we have added to our scope is building the plans and operating the plan. The product is going to be sold by other people and the variations on that is the responsibility or other people. In terms of the unit operation of methanol, obviously people are running methanol plants all over the world. But we did realize that we did not have that experience directly. And that is why we made the strategic alignment with how they are top so, who is the leader in production of ammonia and methanol and all of that. And therefore, we are using their technology and their help in enabling us to that part of unit operations without any risk.
Stephen Byrne: Thank you.
Seifi Ghasemi: Thank you.
Operator: Our next question will come from P.J. Juvekar with Citi.
P.J. Juvekar: I had a question on your green hydrogen project in Saudi Arabia. You mentioned that the opportunity is huge and you can keep repeating that project. Then you also have this gray hydrogen, what you call gray hydrogen on the Gulf Coast from natural gas. And then you have the more polluting coal gasification. I guess my question is, if the hydrogen opportunity is so big, then why type of the capital in more polluting coal gasification?
Seifi Ghasemi: P.J., you are asking an excellent question, but it is very much - I don't want to oversimplify it, but it is like when people go buy a car. Some people like to buy Rolls Royce and some people like to buy Bentley and some people like to buy Toyota Camry. Therefore, we are there to serve the market. Some people are going to going to say I don't care about CO2 emissions. I just want a hydrogen, because I'm worried about pollution in my own specific city, therefore give me hydrogen and I don't care how it is made. And some people might say, no, I want blue hydrogen and some people say no, I want carbon free hydrogen. Therefore, we are the largest producer of hydrogen in the world and therefore we feel obligated to have all three options available and sell it to the market. As I said, it is just right. Not everybody wants the same thing and therefore as a result of that, we don't want to kind of walk away from business by saying no we only sell carbon free hydrogen, why not the other things. We are selling hydrogen right now gray hydrogen in California for mobility, and it is very profitable. Why shouldn't you continue doing that if the customers demand that. So that is our philosophy to be able to sell a spectrum of customers. Little bit like - yes you know what I mean.
P.J. Juvekar: Thanks for that color. That is helpful. I had a question for Scott. Scott, can you go over sort of the merchant pricing in the quarter in different regions? Thank you.
Seifi Ghasemi: Scott, do you want to answer that?
Scott Crocco: Sure. Absolutely. Let me answer it both in terms of your merchant on the segment as well as what they refer to as so called merchant-on-merchant. So for the company, overall pricing up 2% and you know that is all merchants because there is not really any pricing in onsite business. So let me give you from a total company perspective 2%. And then Americas was 2%, Europe was 3% and Asia was 2%. That is the total price. Let me now put it to you on a merchant-on-merchant basis. The company was - it is roughly twice, both way versus. 4% merchant-on-merchant for the company, 5% for Americas, 4% for EMEA and 4% for Asia. Hopefully that answers your question.
P.J. Juvekar: Thank you very much.
Seifi Ghasemi: Thank you P.J.
Operator: And our next question will come from Mike Sison with Wells Fargo.
Michael Sison: Hey guys nice quarter. I appreciate some of the insight on the COVID impact on EPS, some of that is cost, some of that is volume. Can you maybe just frame what needs to happen to get all that back in I guess next year? Is it possible to get that back next year just kind of thinking through how to rebuild some of that earnings power?
Seifi Ghasemi: Well the thing is that next week, you know that we have our costs under control, so we are not going to have any issues with costs. Then our onsite business is going well and it will continue going well, then it all becomes the issue of midterm volumes. You know that we are committed to pricing, that is a principle that I have been talking about in every call. We are committed to that and you see that we are delivering 4% price increases during the time that the world is basically shutdown. So, we are committed to that. And the only thing that is where is the volumes and merchant volumes and the merchant volumes as we have always said is directly related to industrial production activity in different regions. So right now, China is almost back to normal. So next year, actually our team will be better than this year, because they are talking about now China growing about 8%, I had a conversation with a very high level person last night that was predicting about 8% growth in China. So I think that would be there. And then you need to kind of figure out, how would Europe come out of this thing? And how would the Americas come out of this? So we are very much at the mercy of that. I mean, if you want to have a rosy picture that there will be a vaccine and everything will be back to normal, which I hope is the case, then we will be doing great next year. Plus the fact that and in addition to that, in terms of growth of our EPS. Please don't forget that if we are able to close to Jazan, which we announced the fact that we are in the market for the financing sometime in October. Then that would give us a significant boost in terms of EPS in 2021. Okay.
Michael Sison: Got it. And then just a quick follow-up. You gave us European and Americas merchant for July. You guys have better visibility than we do. Any thoughts on where you think it could go in August or September?
Seifi Ghasemi: I don't know where it will go, because it is just like a little bit the last time we had our results. It was a question of where Americas seems to be on demand, but now we have been the other way. But I don't want to predict that, but honestly right now, I don't see any reason why it should get worse. But who knows? I can't predict that.
Michael Sison: Thank you.
Seifi Ghasemi: Thank you.
Operator: And our next question comes from Duffy Fischer with Barclays.
Duffy Fischer: First question just on your $15 billion plus of commitment now. It is been a couple, three, four year journey. If you go back to the beginning of that how did it turn out different? You know obviously, you probably had a preconceived notion of what that $15 billion employed would look like. What was different about it, how returns versus what may be you thought originally geographic split versus original and then kind of end markets versus original?
Seifi Ghasemi: The thing that turned out differently, you are asking an excellent question. Number one, the hydrogen for mobility change sooner than I thought. I thought the hydrogen for mobility will be more like 2023, 2024, but fortunately we have been able to put that project together and announced it. Then the other thing is that so called asset buyback ended up to be bigger than we thought. Because, at the time we announced it, I didn’t expect us to do a $12 billion asset buyback from Saudi Aramco the Jazan project. So those are the two main things that was a little bit different than what we thought, which has allowed us to be two and a half years ahead of schedule.
Duffy Fischer: Great, thank you. And then just one follow-up on NEOM project, or maybe two parts to it. One, when do you need to order your long lead time equipment for that project? And two, what infrastructure needs to be put in place by the country, before you are able to start doing what you need to do, whether that is ports or electric power, you know streets? What do we need to see on the ground happen there first before you start to put your capital in?
Seifi Ghasemi: First of all, in terms of long lead items we are already talking to people. And secondly, in terms of what needs to happen in Saudi Arabia, they just need to give us a piece of land. That is it. We are going to be self-sufficient there, we are going to build everything. We are going to build the power plant, we are going to build larger inside emission plant, we are going to build the roads, we are going to build the port and the whole thing. So we are not dependent on anything specific happening there.
Duffy Fischer: Great. Thank you guys.
Seifi Ghasemi: We will be there in like self sufficient. Thank you.
Operator: And we will take our next question from Jeff Zekauskas with J.P. Morgan.
Jeffrey Zekauskas: Thanks very much. Seifi, I think you said that NEOM project will have four gigawatts of power. Do you need four gigawatts of power to supply a 1.2 million tons ammonia plant or can you talk about the point of that amount of power generation?
Seifi Ghasemi: Jeff, you are asking me, first of all so far reserve review. Secondly, you are asking me a question that gets me into confidentiality and all of that with our partners. You obviously do not need four megawatts of power to produce 650 tons a day of spend outage. That is very easy to calculate, you know that every kilogram of hydrogen requires approximately 60 kilowatts that can be calculated and then we save 75%. And that means, you need to multiply by about two just to make sure that you have enough power to run your facilities and then it is not difficult to calculate how much power as you needs or the ammonia plan needs. So, you obviously you do not need the four megawatts. Therefore, that our other plans for the excess that I cannot talk about.
Jeffrey Zekauskas: So the economics of the project are complicated, because there may be other dimensions to it, other than hydrogen production?
Seifi Ghasemi: Which would be accretive to what it is. Anything else is the additive rather than subtract.
Jeffrey Zekauskas: Okay. Thank you so much. I hope you are well.
Seifi Ghasemi: Thank you very much.
Operator: And we will take our next question from Jonas Oxgaard with Bernstein.
Jonas Oxgaard: Question on the CapEx, so you mentioned that some of the CapEx in your backlog is going to be spent pretty far into future. So can you give us a little bit more of a cadence of how much cash do you have available to spend over the next two to three years?
Seifi Ghasemi: As of right now, Scott, you are sitting on $6 billion of cash, not a little bit more than that. And we do generate a lot of cash even after paying dividends and you saw these slides. So we have plenty of cash to do all of the projects we have talked about. And still continue to pay dividends and increase the dividend.
Jonas Oxgaard: I guess more wondering about how much room, there is to sign up more projects with near-term cash outlays. Or is what you have now - what should be debt for the next couple years?
Seifi Ghasemi: No, no, no, no. There is plenty of room, because we can always go and issue additional bonds. We have plenty of room, the company right now, our net debt is about this 0.5 EBITDA. So we have a lot of room. I think that is a very important point there to make that we are not constraint for additional growth and you should expect us to continue to announce mega projects as we go forward. We are not just slowing down.
Jonas Oxgaard: Okay. And I'm curious, you put your backlog in the context of your target. Are you going to take up seriously update the target to change the timeframe of it?
Seifi Ghasemi: Yes, next summer we will do that. Next summer we will give you another five new plans.
Jonas Oxgaard: Okay, thank you very much.
Seifi Ghasemi: So that you have visibility through 2026 or something like that. Thank you.
Jonas Oxgaard: Perfect.
Seifi Ghasemi: Okay. Any other questions?
Operator: And next we will go to Chris Parkinson with Credit Suisse.
Christopher Parkinson: Thank you. Seifi, can you just further speak about the proposal for your HRS strategy, and then also your technological positioning and just how it varies versus what others are now progressively proposing with their own projects, you know obviously in some cases in a much smaller scale. It is fairly clear that distribution will be integral to anybody's strategy, but from your perspective, what makes ultimately your value chain proposal different other than just the fully green aspects of it?
Seifi Ghasemi: The thing is that what makes us unique is the fact that we have come up with the practical solution that we can actually execute. I mean, people are talking about a lot of different theories, but we have come up with a way of taking green hydrogen and actually converting it to something that can be transported and delivered to a different station in whether it is in Frankfurt or Tokyo or Shanghai. I mean, that is the innovation and based on the fact that hydrogen refueling stations are self sufficient. That means we are not going to require power from the grid which is not clean power. And we are not going to require power from the grid around the compressors, because those compressors use a lot of power. In order to put hydrogen into a truck, you need to raise the pressure to about 10,000 pounds per square inch that because a lot of compression, so if somebody says I'm going to connect to the grid, first of all that requires a lot of voltage and a lot of electricity. And secondly, that grid - how is the power produced from that grid. So what we have come up with is a unique thing that we just don't touch anything related to carbon, produce the hydrogen and put it in somebody's truck. Some people put another value on that. As I said before, answer to another question, some people might say, no, I don't care how you make the hydrogen. I just want you to make it somewhere else. And then I want to convert the buses in my city to hydrogen because then there is no pollution in my city, but the fact that the word is getting warmer that is somebody else's problem. But the uniqueness of the new project is that we have come up with something practical that four years from now you can actually deliver hydrogen, carbon free to a truck wherever it is. It is not the theory, it is a practical way of doing.
Christopher Parkinson: Alright. Thank you. And then just, second question just there has also been a lot of chatter about carbon capture and people thought as a long way off, but then again, everybody talked about hydrogen as well. If we just look at - we know you have proven technology. So we know there is a demand spectrum that is evolving in the state of California, which could arguably apply to PBS and then also a few different areas which are already been explored in northwest Europe. Just how should we think about these opportunities in terms of your own technology competitive positioning and is there enthusiasm up or down versus even just a few months ago. Just appears there is clearly something here as well.
Seifi Ghasemi: We are very, very enthusiastic about carbon capture. We have a lot of projects in development. And when the time comes, we will announce them. We are very excited about that, because that is another significant solution. Because if you can capture carbon and kind of create, you can create blue editing. You can capture carbon, you can make blue methanol, you can make it blue urea. I mean carbon capture is a very, very essential part of everything. Because no matter how many NEOMs we do. The world has 1.4 billion cars running around. So carbon capture and hydrocarbons are still going to be used. And if you can find a way of capturing of CO2, that can be a huge business. We have always said that. And we continue to work on that and develop the project for that. And I think in the next two or three years, you will hear about us coming out with real commercial proposals on that.
Christopher Parkinson: Thank you. Hope you are well.
Seifi Ghasemi: Thank you, sir.
Operator: And our next question will come from David Begleiter with Deutsche Bank.
David Begleiter: Thank you. Seifi just on to Jazan, assuming it closes in October. How should we think about the earnings ramp up in fiscal 2021 from Jazan?
Seifi Ghasemi: Well Jazan when it comes on it is going - I mean if we close it closed and then we get our VFC. And we have given you some guidance, you know how much capital we are employing, you know the kind of rule of thumb of $0.10 of operating income per dollar of investments? And then you can calculate what the effect will be.
David Begleiter: Very good. One of your competitors has announced a couple of MoUs with respect to China and hydrogen in the last week or so. What is your strategy? And should there be multiple players and whether is it for hydrogen in China going forward?
Seifi Ghasemi: Well the thing is, I don't want to make any comments about what our competitors are doing. I mean they should answer that about what is the difference between an MoU and a signed contracts and what is aspirational projects and real projects. But that is up to them. I don't have any comments about that. But in terms of our prospects, in China we are working on many, many, many, many opportunities in terms of supplying hydrogen. We are building hydrogen fueling stations there. Most of them are so called the gray hydrogen. But that is what they want. In China they are not yet too enthusiastic about green hydrogen. They seem to be happy. They are more focused on carbon capture and so called blue hydrogen. But we are there we are working. And as I said, he want to supply the whole spectrum. We actually have a lot of activity in terms of hydrogen fueling stations in China. I think if you are counting we probably are working on 120 projects. But anytime we do something we don't put out the placements.
David Begleiter: Thank you very much.
Seifi Ghasemi: Thank you, sir.
Operator: And our next question will come from John Roberts with UBS.
John Roberts: Thank you. And I will only ask one since we are going on here. I think you said merchant volumes were down 10% in the Americas and in EMEA in July. Were they down about 10% in June, as well week plateau in here in terms of the improvement in merchant volumes?
Seifi Ghasemi: Approximately that is a correct statement.
John Roberts: Thank you.
Seifi Ghasemi: How are you doing John by the way. Doing okay?
John Roberts: Very good, thank you. and you sound well also. So thank you very much.
Seifi Ghasemi: Thank you. thank you sir, I appreciate that. Any other questions out there?
Operator: Yes. Our next question will come from Bob Koort with Goldman Sachs.
Robert Koort: I appreciate your patience, Seifi.
Seifi Ghasemi: Absolutely. We wouldn't have ended the conference call until we got a question from you. I'm sure, it is a difficult one, but I'm getting myself ready for it.
Robert Koort: I want to ask you know on the coal gasification, you guys did a good job of assembling technology. You have the capital available, you have the willingness to do it. When we look at this green hydrogen effort. I mean, I suppose also that your capital availability is an advantage. That sounds like you get some electrolyzers technology that is an advantage. And you certainly shown a willingness to do it. But I would also suspect, there is a long list of others that want to break into this market. So what do you see is your secret sauce? What is your competitive advantage here? Is it the relationships, is it the technology, is that the capital, give us a sense why your product is fit to win here?
Seifi Ghasemi: Bob excellent question. The thing is that, in order to make you bring about a project like NEOM. What you need number one, you need to have a willing partner, who is going to give you access to a location, which has the sun and the [rind] (Ph). That means you need to have access to the government. You need to convince the government. This is not something that you go there and you buy a piece of property and try to do something like that, you need vast quantities of area and you are going to be doing things in very sensitive areas and all that. So that is the first in part and with NEOM I think we were able to do with that, it is very difficult to come up with any state, our faces in the board that might have those kind of capabilities. You need to have a relationship and be able to convince the government to support that is first. The second thing is obviously, the idea of how to do this thing. Now that you have announced it, I guess everybody says, I knew all about it yes we can convert it to ammonia, but I think that was but sold in NEOM project, because we demonstrated to the Saudi Arabian government, which is really NEOM, look we are talking about a practical problem, we are not just talking about okay if you make hydrogen gas and then you are daydreaming about the fact that someday somebody will build a ship to liquefy it and take it to the market, because there is real solution there and then the project. Then the third thing is that we have tied up with the largest and most credible producer of electrolyzers. There is no other company in the world right now. That can match the capacity of this in growth in making this stuff. As you know, we have an exclusive arrangement with them. So that is the second thing. And then the third thing is obviously, the fact that we have been doing hydrogen curing and we have more than 50 patents with respect to actually hydrogen fueling stations and how you put yourself in somebody’s trunk at 10,000 PSI. And therefore, those are the competitive advantages that we have. But the most important thing is being the first starter and that is what we have done. So, it is a little bit by gasification, because right now, any country, believe me, any country or anybody anywhere in the world, and I have examples of this, anybody in the world who is thinking about gasification whether it is a country, whether it is a company, whether it is a chemical giant or a refinery giant, they think the phone and call their products. And that gives you a significant advantage. And we hope to be the same thing with respect to, and over there we have this- extremely took ultimately the same thing get hydration for mobility. And don't underestimate a lot of other people wanted to do NEOM, [indiscernible] the only one.
Robert Koort: That is helpful. And is there meaningful differentiation in technology for electrolyzers? I know you mentioned testing crop and you got the alkaline, is that competitive or are there advantages disadvantage to proton exchange or solid oxide? Or is that a stage gating part of the process here? Or do you think that is not something worth spending a bunch of time with on the outside looking in?
Seifi Ghasemi: I think this is public information, the people who have this technology - has been doing this thing for 60 years they have been doing it for making chlorine and all of that. So their technology is very known and their manufacturing capacity is very well. Obviously [Ziemens] (Ph) is talking about their chem. technology. We did look at that and we decided that just was as a bigger option for us at this stage. Now with that chem. technology developing something later on it might or might not? The other people are small operation research professionals doing things. There is nobody there which is quite honestly credit.
Robert Koort: Got it. Thanks so much Seifi. I appreciate you squeezing me in.
Seifi Ghasemi: Thank you. Absolutely Bob anytime and hope all is well with you and your family. Next question is there any?
Operator: Yes. Our next question will come from Mike Harrison with Seaport Global.
Michael Harrison: Generally we think about your merchant business is being more profitable when you have higher utilization rates. Yet, you seem to have deliver really good margin performance here, even though you saw double-digit merchant declines in the Americas and in Europe. So can you provide a little bit of detail or color on what actions you were taking to prevent the merchant declined from having a more pronounced impact on your margins?
Seifi Ghasemi: Pricing my friend, focus on pricing. We are not focused on volumes, we are focused on prices and if we lose market share, we lose market share. That is the philosophy that we announced about two and a half years ago, you know, very well. And we said that look the time has come for us to increase prices on our products, because we haven't increased prices for 10-years. Our costs are going up, we are spending a lot of money on development. Our costs of driving the trucks, our drivers cost more, our operators costs more and all of that. And therefore we have been very focused on pricing. And that is what is driving this thing. And you can see the pricing. I mean, when you look at the history of the industrial gas businesses in the last 10-years, there aren't that many places. But even under normal times, people got 4% price increases every quarter.
Michael Harrison: Alright. And then maybe a question for Scott. Just the contribution of the PBF Energy acquisition in the quarter from a revenue standpoint in Americas.
Seifi Ghasemi: I didn’t take that question because I don't think Scott will answer that question because we don't want to disclose that. But Mike, you can calculate that. We told you it is $530 million. And we keep saying that the minimum thing is $0.10 for every dollar of capital. So you can calculate that very easily. And, our tax rate is about 20%. So you can come to the conclusion and then figure it out that it was in the corner for about a month and a half. And you come up with a number. But we don't want to go through the details of that, because we do not want to exactly talks about the possibility of that project.
Michael Harrison: Understood. I think I was speaking more in terms of the revenue contribution. Just trying to break out what was truly organic versus what was driven by an acquisition.
Seifi Ghasemi: On that one, you can make a good guess my friends. But we cannot go there. Sorry about that. Give us a break at least once in a while. Okay.
Michael Harrison: Understood. Thanks for much.
Seifi Ghasemi: Thank you, Mike.
Operator: And our next question will come from Laurence Alexander with Jefferies.
Laurence Alexander: Good morning. Thanks for squeezing me in. Just a quick question then. On the return on capital on projects for the conversion rule of thumb the $0.10 for every dollar of CapEx. That has been sort of an industry benchmark for several decades. If you look at the size of the addressable markets. That you now have access to. Your technology position, your process know how, just everything you are bringing to the table to help make this all possible. When we look at the next wave of projects and not the market creation projects, but the next wave after that. Should we expect the return on capital that Air Products can get to go higher because of technology value and process know how? Or is there anything going on in the industry where the $0.10 is a good rule of thumb for the next decade?
Seifi Ghasemi: We are going to do better than $0.10. you are right, the next phase is going to be more profitable. Yes, thank you.
Laurence Alexander: Okay. Thanks.
Seifi Ghasemi: Sure.
Operator: And our last question will come from John McNulty with BMO Capital Markets.
John McNulty: Hey, Seifi. Thanks for taking my question. So you have a lot of future EBITDA coming on projects that are - won't be really materializing over the next couple of years. It is really more of a 2023 to 2025 kind of timeframe. And it looks like a growing portion of your business is actually going to be tied into joint ventures at least relative to kind of past levels. So I guess with that, should we be thinking about how EBITDA flows through to your cash flows. Similarly, on those joint ventures. Or is there anything that maybe holds back some of that cash? So when we start trying to compound things and look forward, we should maybe be hair cutting it a little bit. How should we be thinking about that?
Seifi Ghasemi: Hi John, you are asking very, very good question. Can I just make a comment? Not everything is going to come on just during 2023, 2024. We are going to have a lot coming on the stream in 2021, like we close Jazan then in 2022, we have to Jiutai and several other projects that come on stream. So this is going to be a continuous growth. So we don't have a decode some. The other thing about the EBITDA and the joint ventures, obviously it depends and you don't have too many joint ventures, but the joint ventures that we have some of them we can consolidate, some of them we cannot consolidate. And the issue that becomes a very complex calculation and all that. But I don't think, you want to take too much of a haircut on the EBITDA, because we will get most of it.
John McNulty: Got it. Perfect. Thanks for the clarification.
Seifi Ghasemi: Thank you very much John, I appreciate that.
Operator: And we currently have no further questions in the queue at this time. I would like to turn it back to our presenters for any additional or closing remarks.
Seifi Ghasemi: Thank you. So, in closing, I would like to thank everybody for being on our call. Thanks for listening to our presentation. We appreciate your interest and we look forward to discussing our results with you again next quarter. As I said earlier, please stay safe and healthy. I'm looking forward to talking to you in three months. All the best. Thank you.
Operator: And that does conclude today's conference. Thank you for your participation. You may now disconnect.